Patrik Stenberg: Thank you and good morning, everyone and welcome to this SKF Conference Call on the First Quarter Results. As usual, we will start with presentations by our CEO, Rickard Gustafson, and our CFO, Niclas Rosenlew. After the presentation, we do look forward to answering all your questions. You can either choose to pose your questions live on the phone or you can use the chat function as you prefer. The chat function is open already now if you want to. With that for a brief introduction, I will leave the word to Rickard. So please, Rickard?
Rickard Gustafson: Thank you very much and good morning, ladies and gentlemen and welcome to this presentation and thank you for joining us this morning. Looking into the quarter, putting it in a context to start with, it’s been a quarter that has been divided. We have seen some significant headwinds in our business. Some of those headwinds are of such a character that we wish we would never experience them. Of course, I am referring to the awful situation in the war in Ukraine. That also caused us to now exit our presence in Russia. We have seen a situation where cost inflation has continued to be on the rise. We have seen a very challenging logistics and supply chain situation. And most recently, we have also seen a complete lockdown of the important industrial region, Shanghai in China, of course, impacting our customers and thereby also impacting us. But in that context and to deliver the numbers that we are about to present to you today, I need to express my sincere gratitude and thank you to all of my colleagues in SKF that I think have managed in a fantastic way in really trying to navigate in these very difficult waters and still deliver these results, and at the same time, safeguard themselves, our customers and our business. But there has been a number of tailwinds in the quarter as well. First and foremost, we have seen a very strong demand across our geographies and across several industries, which of course is shown in the organic growth rate that I will come back to shortly. We are pleased to see that we have been able to actually maintain and to some extent, even further enhance our operating margin, especially within our industrial business, which is a good news and that in itself is also partly driven by our ability to drive price to compensate for the cost inflation that is hitting us, so both headwinds and tailwinds. When it comes to our strategic framework, I am also pleased to announce that we feel that we have had a good progress in the quarter in our Internet and the clean growth framework. A number of those growth segments that we identified as especially of interest to us, they all show great progress in the quarter and I will come back to that. When it comes to our service offering, we today announced what we think is an exciting new collaboration with Amazon Web Services that I also will come back to. And then we – in the quarter, we have also operationalized our new way of working, so our new operating model where we have the autonomous business units or business areas that have full accountability and ownership end to end for the entire value chain, creating more agility closer – being close to our customers and hopefully also more speed in the way we operate. So, overall good progress. But turning to the quarter and the numbers, I think we are off to a good start for 2022. Net sales came in just below SEK23 billion, representing an organic growth rate of 6.5%. And again, if we look into what’s building up to that, you will see that the industrial business is really spearheading the growth, growing around 11% organically, while we see a small decline in our automotive business of negative 3% growth rate. Our adjusted operating profit came in close to SEK3.1 billion, which is somewhat ahead of the same period last year, representing a margin of 13.3%. And you break it down and look into the industrial that had a very, very strong quarter where we have reported a margin of 16.5%, which is actually somewhat stronger than the same quarter last year. While automotive have a more challenging comparison period given that the first quarter 2021 was exceptionally strong, I still believe, given the circumstances, that delivered a 5.2% margin in automotive is also worth noticing. Maybe the one number that we are less happy with in the quarter is the net cash flow from operations that is negative SEK270 million, as you can see on this chart. There are good reasons for this, all point to the buildup of inventories. A lot of that is driven by our need to build up buffer stocks to ensure delivery and quality to our customers in this very volatile and challenging environment that I described before. The underlying cost inflation by itself is pushing up the value of our inventories. And of course, the lockdown of Shanghai has also come in as an event that has driven up inventories in our Chinese business, hopefully, a more short-term nature, but for the quarter, they do have an impact on our cash flow. If we stay a bit on the group level before we go down to the industrial and automotive part, turning it back and focus to our intelligent and clean growth framework that we announced a quarter ago. As you may recall, in that framework, we identified four growth levers for our business. And I’m pleased to say that we have made some good progress in all four of them in the quarter. Starting with the high growth segments, you can see on the right hand side of this chart an example of a number of those segments that have identified as strategically important to us. And I’m really pleased to say that most of them, at least all of them that present at this chart, they all demonstrate solid double-digit growth rates. When it comes to new technologies, which is important, we will continue to invest and be the leading player to provide our customers with the most relevant products and capabilities. I’d like to point out that in the quarter we have seen good progress in magnetic bearings. That is really enabling and opening up a new industry, i.e., hydrogen. And I will come back to you with a concrete example later on in that regard. When it comes to our ceramic bearings, they are in high demand and they are the foundation for our growth in the EV segment. And we are a clear number one in the market here and that is really putting us in a very, very favorable position at the moment. Service and aftermarket, there I am going to refer back to the announcement this morning with the collaboration with Amazon Web Services that we believe has the potential to really drive significant revenue opportunities going forward. And I will come back to talk to you a little bit more – give you some more flavor to this shortly. And finally, portfolio management, here I don’t have a massive or significant event to point to. But in our new setup, in our new operating model where we have each of the business areas, they all look into their portfolios to really assess where do we – what do we need to prune, what are the loss-making accounts and how can we further improve our overall profitability within our portfolio? And that has also helped to drive some of the improvement in the underlying margin, as we’ve seen in the quarter. So again, good progress on our strategic framework. But if we then move forward and look into industrial and to give you the context, industrial, as you’re probably all aware of, is the main industrial segment for us or segment for us, representing just north of 30% of revenues and close to 90% of our earnings. Industrial has, as I mentioned, had a very strong growth. We have come in at SEK16.5 billion in net sales, representing some 11% organic growth. You can see that the two main markets or geographies, I should say, EMEA and Americas, had strong double-digit growth as well as India, really growing rapidly across all our different industrial segments, north of 20%. And then China is the one that stands out with a small negative growth rate for the quarter. And I’d like to draw your attention to two things that is really driving this. It’s primarily wind and rail that has a tough comparison versus the same quarter last year given the incentives that really drove growth in wind a year ago. If we would exclude rail and wind from these numbers, we would report a mid-single-digit growth rate for the rest of the Industrial business in China. Again, I’ve already spoke about the growth rate here, but I’d like to reinforce the margin improvement of 16.5%. Here, we are really seeing that we have been able to drive price and other cost-mitigating actions effectively throughout the quarter, which is really boosting up our margins. But with that said though, we are not complacent. We know that we are chasing a moving target. And the team is as on this, as it was when we started this quarter to continue to ensure that we do everything in our power and use all the levers available to continue to drive efforts to mitigate the cost inflation. But we are pleased to see the momentum that we’ve built in the first quarter that we foresee with – also move follow into the second quarter and onwards into 2022. I’d like to end the industrial part of this presentation, but I also point to a few customer success stories starting with agriculture, which is one of our key strategic themes or sectors that we focus on. And it’s always good to get some sort of proof points from customers. And we use here the John Deere excellence award that our SKF Brussel team in Brazil has won for the third consecutive year, which is well done and well deserved. But we have also in the quarter signed some new partnerships that we believe have the potential to unlock some new industries. And I already touched upon them, but let me give you some more flavor, and starting with Amazon Web Services. We are excited about this because this can really take our scalability of condition monitoring and data analysis to new level. This will not replace what we have today. It will complement what we have today by adding affordable, easy-to-scale, easy-to-use condition monitoring and software analysis capabilities to our existing customers that then could afford to maybe hook up and connect more of their less critical machinery or applications. It will open up opportunities from midsized manufacturers and entry-level users to also get into the game here and start to connect their applications or their machinery. We believe that this has the potential to really drive our recurring revenue going forward within our service business. So we’re excited about this announcement today. And this is going to start in North America, will improve the concept in North America. And then hopefully scale it and roll it out in other parts of our geographies as well. Another key example as it relates to hydrogen, where we have in the quarter is part of a solution for new hydrogen energy to a customer in North America. And in order to liquefy hydrogen, you need turbo expanders. We don’t do turbo expanders. But the main component in a turbo expander is the magnetic bearing. And here, we have unique capabilities. Our uniqueness and our capabilities in really providing the bearings of the magnetic solutions to unlock this industry is second to none. And we can provide 100% friction-free high-speed rotation that is really enabling growth in this exciting industry. So it’s kind of emerging – an emerging industry. We believe it has huge potential, and we’re pleased to take part of it from the beginning. Moving on to automotive. And again, automotive represents less than 30% of our revenues and about 10% of our earnings. Automotive had SEK6.4 billion net sales in the quarter. On the totality, that’s down by some 3% in the quarter. Here, you can see again that the EMEA and Americas represents our largest geographies, where EMEA have a small single-digit growth rate and Americas is dropping a little bit, down 2% on the organic growth, while India has a kind of mid-digit single growth rate. China again is the region that stands out. And here, there are two things I need to draw your attention to, to explain that rather significant negative growth rate of 20%. Firstly, it’s of course the ongoing lockdown of Shanghai that has made it impossible for many of the OEMs in the region to continue their operation, and therefore, also have an implication on us. Secondly, it’s the comparison on commercial vehicles that are a bit pragmatic, where the first half or the beginning of last year, we saw some significant growth before they changed the emission legislation in China. So that’s really the comparison that makes it a bit difficult from that point of view. Hopefully, at least the lockdown in China and the Shanghai region are of short-term nature. We have no idea how this will evolve and then when they might open up. It might be so that it will get worse before it gets better. But at the end of the day, I hope that China will also open up within a reasonable time frame. But time will tell, and we have to manage accordingly. Looking into automotive in a bit broader perspective, as I said here, the negative growth, but they are delivering a 5.2% adjusted operating margin. But given the circumstances, I think it’s very solid and well done by the automotive team. Also here, we have seen an ability to drive price effectively, not just within the aftermarket, but also within the OEM part of our business, which is satisfactory. We – also, as I mentioned, we have seen some pruning of the portfolio that is also helping to improve the margins in automotive. On the positive side, EVs are growing rapidly. And here, we are a clear number one in the market, and we are taking advantage of this. And we see that more and more of the world’s EV manufacturers are turning to us. And our ceramic bearings or hybrid bearings are in high demand to deal with the straight current issues that they – those OEMs suffer from as voltages go up in the vehicles, so strong growth. And not just from traditional EV manufacturers, but also traditional OEMs are now turning to us for their EV solutions. Also, the aftermarket has been very strong within automotive globally. Here, we are a clear number two globally and we have made some further inroads and progress also in that part of our business. And even in automotive, we have seen some customer wins and they all refer to E and electrification. And we have really strong foothold in e-axles and e-powertrains. And we see some good wins for some major OEMs in Europe that we’re very pleased about that provide some promising growth opportunities in the future. So with that, I think it’s time for me to hand over to Niclas to give you some more insights to our numbers. So Niclas?
Niclas Rosenlew: Thank you, Rickard and good morning, good afternoon, everyone. Starting off with sales. So we had SEK22.9 billion sales in the quarter. That’s a growth both sequentially and compared to last year. And its overall – the overall growth is 15.5%. And if we split that 15.5% into organic and currency, we had a 6.5% organic growth and then the currency tailwind was 9%, with the biggest differences coming from currencies being the dollar, the euro and the renminbi. So, all-in-all, good, a solid sales performance in the quarter. Commenting on the adjusted operating profit, we had an operating profit in the quarter of SEK3,058 million and that’s a growth year-on-year. And if I just put that into perspective, we had two distinct parts here. We had an organic growth of roughly SEK1.4 billion and then we had a cost tailwind of roughly SEK1.4 billion. Going through this step by step, we had a positive currency effect of SEK288 million. The organic growth, SEK1,376 million up, consisting of two parts, 30% of this is volume driven and roughly 70% of this is driven by the positive price and mix in the quarter. Costs, on the other hand, SEK1,395 million, negative. This very much reflects the inflationary environment in the world. We had higher component costs. We had higher logistics costs. And we had higher energy costs, which is the vast majority of this SEK1.4 billion negative. So all in all, a good performance when it comes to operating profit with the organic growth and price/mix offsetting the negative cost. Commenting on the cash flow. And as Rickard said, this is the one thing we are not particularly happy with in the quarter, but there are good reasons, good explanations for it. So we had a negative cash flow – operating cash flow of SEK271 million. And it was very much driven by a negative net working capital or an increase in net working capital. Net working capital was driven by two things really. One was the increase in receivables, very much following our sales growth, quite normal there. On the other hand, we also saw an increase in inventories. And the inventory increase, you can really break it down into a couple of components. One is that we – as Rickard said, we do continue to prioritize customer deliveries. Very important for us to make sure that we are able to deliver to the customers, and that drives some buffer stock essentially. On the other hand, we also had a – or we continue to have a challenging supply chain situation in the world, leading to for instance, mismatch in components. The logistics chains are long. We have goods in transit, which is on a higher level than normal. And then last but not least, we also had the Shanghai lockdown, which affected us in the end of the quarter. We do see this as – or many of these items being temporary in nature. But nevertheless, we do take additional action as well to improve our net working capital in the long-term. Commenting on the balance sheet, we have a strong balance sheet. We had a net debt in the end of the quarter of SEK10.4 billion. That’s an increase primarily driven by the dividend payout, which took place in March. The return on capital employed also is developing in a positive way, 15% return on capital employed for the last 12 months, very much driven by the good profitability. And with that, I hand back to you, Rickard.
Rickard Gustafson: Thank you, Niclas. And then to sum this up, as I said in the beginning, I think we are off to a good start for 2022 with what we present now for Q1. There have been some significant headwinds that we all – that you all are aware of, and I mentioned them. And of course, the Russia-Ukraine one is horrific in itself, but it’s really driving some issues for us. And it’s also caused to take the decision to exit the Russian market permanently. And the Chinese lockdown, of course, drives a lot of uncertainty and volatility. Where we don’t really know where it’s going, we believe that it’s a temporary nature, as I mentioned before. But for how long and if it’s going to spread to other regions, it’s too early to tell. But I guess we should not be surprised if it gets worse before it gets better. We are very pleased with the strong growth and the margin that we have been able to deliver, especially with industrial. To grow industrial with – organically with around 11% that improved margins, something that we are pleased about and that we will bring with us going forward. The accelerated price realization is something that we feel good about in the quarter. But with that said, we are in no shape or form complacent. We know that is a lot of hard work ahead of us. We are constantly chasing and moving targets here, and the inflationary environment is here to stay for at least Q2 and probably for a large part of 2022. When it comes to strategic framework, as I mentioned, we are excited about some key developments in that area. The new partnership with AWS is something we worked on quite intensively, and we are very pleased to have that now and be able to talk about and start work with it. And also the progress within a number of the high-growth segments, that is the cornerstone of our intelligent and clean strategic framework, is something that we’re pleased with and also the technology development within hydrogen and ceramic, as I mentioned before. But it is a volatile environment. And when we look into the outlook, it’s hard to predict what’s going to happen and especially how things are going to evolve in China. But we believe that from an organic growth point of view in Q2, we expect to be flattish versus the same quarter last year. Of course, it’s highly dependent on these uncertainties. But still, that’s what we anticipate. But for the full year, we remain still optimistic. And we now believe that we’re going to have a organic growth rate of around 4% to 8%, in that range. That compares with the previous guidance of 5% to 10%, and the main difference is I’d like to draw your attention to Russia again. Russia is normally – was normally 2% of our net sales, so our revenues. So we have actually compensated for that in our outlook. But again, it’s hard to predict and it’s rather volatile around that. So with that, we stop the formal part of the presentation. And I will now ask Patrik to help us together with a facilitator online to help us facilitate the Q&A session. Thank you.
Patrik Stenberg: Thank you, Rickard. And with that end of the presentation, we are good to go and start off the Q&A session. So operator, please, we will start with questions on the phone. And then after that, we will start with the questions that have been posted on the chat. Please?
Operator: Thank you. [Operator Instructions] Our first question comes from Daniela Costa at Goldman Sachs. Daniela, please go ahead.
Daniela Costa: Hi, good morning everyone. Thanks for taking my questions. I have three, but they are quick. So the first one I want to check. You talked about accelerating pricing, and you seem to have done at least like 5 percentage points of pricing in 1Q. Within your 4% to 8% guidance for the full year, what pricing carryover are you assuming just thinking about that? And then second, you talked about 70% being price and mix within your EBIT bridge where you have the organic bar of SEK1.376 billion. What about the inventory – the impact of the inventory build on that? That’s question two. And then the question three is just regarding the cash progression throughout the year. You obviously mentioned you are dissatisfied with that. Do you see a full compensation to what would be a normal cash conversion this year or this year given the nature of all that’s happening with supply chains and cost inflation and so on is a bit of an atypical year? So those are my three questions. Thank you.
Rickard Gustafson: Thank you, Daniela. And I think I’m going to divide your three question among the three of us. I can take the first one, and then Patrik gets the second one and Niclas will answer the cash question. When it comes to pricing and how much will be carried over into the growth rates for the full year, actually, that is not anything that we disclose. The only thing I can say that we have seen that our actions and activities has resonated well with our customers in the quarter. We have been able to realize more of the price increases that we have seen in the past. We have further added more price to the equation during the quarter that has not yet materialized in our numbers. That will come. But I’m going to refer from referring on how much of the 4% to 8% that’s going to be derived from prices and what’s going to come from other means. But we’re on the case. And we work diligently with the price and other cost mitigating activities.
Patrik Stenberg: Okay. Thank you. On the inventories, yes, it’s correct that we have built some inventories as we usually do in the first quarter, not that much though. So in the bridge effect, I would say it’s a net positive on the EBIT line of about SEK40 million in the quarter compared to last year.
Niclas Rosenlew: And then, hi, Daniela, to your last question about cash progression, I mean, again, we are quite confident that we will make a comeback in terms of positive cash flow in the year. The – typically, as you might know, typically, first half is a weaker cash flow period for SKF while the second half is stronger. But nevertheless, it’s something that we are working diligently on and are quite confident that when things normalize in the market and when our actions start to bite, we are back in the game.
Daniela Costa: Thank you for answering.
Operator: The next question comes from Klas Bergelind from Citi. Klas, please go ahead.
Klas Bergelind: Thank you. Hi, Rickard and Niclas. Klas at Citi. So a couple of questions, please. The first one is on pricing and cost inflation. Price/mix, around 5% in the quarter, and the comparatives are getting tougher for the price/mix as of the second quarter. And I know, Rickard, you don’t want to comment on the price/mix for the year. But do you think you can maybe help us a little bit looking at the second quarter, given that you have a tougher compare, you can achieve a similar 4% to 5% there for the second? Then on the cost inflation, I think the gross number was SEK1.5 billion from material, logistics and energy, and netted off by SEK100 million come from net savings. How should we think about the costs into the second quarter? I think energy was around SEK300 million. That could potentially grow. I’m keen to understand the moving parts there into the second. Thank you.
Rickard Gustafson: Well, hey, Klas, and thank you for your questions. I guess I’m going to be disappointed a bit on my answer to your first one. When it comes to the price/mix that we achieved in the quarter, how much do we think we’re going to achieve in the second quarter? I don’t dare to give you a number for that because it’s not a fixed target that we’re chasing. The inflation environment will most likely change during the quarter, and I don’t know exactly what it will look like. We’re trying, to our best of our ability, to predict this. And our sales teams are out there actively engaging with customers and trying to make sure that we compensate ourselves for what we know and what we anticipate to come. But if we are right in our estimates and our anticipations, time will tell. So again, I’m going to refer from really give you some – provide you with some details for how I think Q2 is going to play out, more than saying that we are on the case. We – as I mentioned, we have already negotiated some additional price increases that have not yet materialized in our books so far.
Niclas Rosenlew: And then Klas, to your question about cost inflation, just to give you some additional flavor. What we saw throughout Q2 was a bit of a normalization – or not normalization, but stabilization at a high level when we talk about materials, logistics and energy. It is quite a volatile environment. So even if we saw a stabilization in Q1 or throughout Q1, saying that, that will hold for Q2 is just tricky in this environment. But what we can say is that in Q1, at least inflation didn’t get much worse.
Klas Bergelind: Okay. No, that’s helpful. My second one is on the guidance. And it seems like you are only taking down the guide link to the 2% sales impact from Russia. And I know you don’t want to say it, of course, and I totally understand what price/mix can end up for the second quarter. But let’s say that you would manage 4% to 5% again in the second quarter. Then flattish organic would mean that the underlying volumes ex Russia will be down 3%. I’m trying to understand how much of this minus 3%, for example, then is driven by China lockdown, European wire harness issues in automotive or if you see any weakness at all in the industrial core segment as well.
Rickard Gustafson: Well, again, the forecast that we provide is subject to uncertainties. It is always uncertain. So you can argue that’s kind of normal. But I think this year, with both the ongoing war and the situation in China, it creates even more – it makes it even more complicated to really provide a forecast. But we stick to what we said with the 4% to 8%, and the rationale behind it is that, when we’re going through our business, we still see a strong demand across our geographies. We still see growth opportunities, primarily within industrial that sounds – looks very promising and robust. And no real signs yet of that should start to shift in any shape or form. Automotive is more complicated. Of course, in order to deliver on the 4% to 8%, it will imply that China is not in a lockdown for the full year. But that will open up at some point during the first half of this year, and then we have some sort of bounce back within automotive. So that’s also part of how we made up the forecast. But as always, we’re trying to provide with our best estimate or our best guess. And we stand by the 4% to 8%, even though I know it’s a lot of uncertainties and volatility within it.
Niclas Rosenlew: Maybe just to add the – yes. Just to add to what Rickard was saying. I mean, the demand is there and the demand is actually strong. So what we see is essentially one-off disruptions. I mean, the Shanghai area, we have quite a lot of business and production in the Shanghai area. So it’s very kind of binary. When is it opening up is the real question there.
Klas Bergelind: Yes. And my question referred to the second quarter. Who knows what will happen in the second half?
Niclas Rosenlew: Right. Yes. Exactly.
Klas Bergelind: That becomes to – my very final one is on the strategic framework. You talked about, Rickard, magnetic bearings, ceramic bearings, and there is no momentum seen in these technology. What the market, I think, is lacking post the strategic review at the full year is a little bit more disclosure on TAM, i.e., the addressable markets and how to bridge the implied 8% CAGR to 2030. Are you planning more disclosure gradually then during the full year? Just want to finish off on that. Thank you.
Rickard Gustafson: Yes. Thank you, Klas, for that question. The answer is yes to your question. We have tried to articulate more of the framework for you where we see the opportunities. We are now trying to also describe that we see some good progress in a number of those. But if everything goes according to plan, we will – before the year is over, we will host a Capital Markets Day where we should be able to provide some more details and more clarity around our path for growth into the future. So the answer is yes to your question.
Klas Bergelind: Thank you very much.
Operator: The next question comes from Lars Brorson at Barclays. Lars, please go ahead.
Lars Brorson: Great. Thanks you. Good morning, Rickard, Niclas, Patrik. Can I start with price/mix, please? The SEK1 billion or so in your EBIT bridge that’s price/mix, can you give the split between price and mix?
Rickard Gustafson: Niclas?
Niclas Rosenlew: Yes, yes, yes. So as said, out of the SEK1.4 billion, roughly 70% is price/mix. Both are positive. And I’ll actually leave it with that, because pricing, not to bore you with a lot of details, but there is different forms of pricing. There is surcharges. There is the normal price increases and so on and so on. And depending a bit on how you look at it, they land in different categories, sometimes in price, sometimes in mix. So that’s why it’s not that relevant to look at exactly price and mix, but look at it in total instead, but both are positive?
Lars Brorson: I understand, Niclas. Maybe I could ask differently then, but specifically to the Industrial division, can you help me with the impact on margins from mix within that division? Maybe to ask a bit differently, how substantial was the outgrowth in your industrial distribution business versus the 11% organic for industrial overall? And was that a meaningful impact on margins in the quarter?
Niclas Rosenlew: Yes. You’re absolutely right that distribution grew well on the industrial side, and also aftermarket grew well on the automotive side. So that affected mix positively. And distribution grew, actually, in industrial, grew more than the 11%, somewhat more than the 11% that overall industrial grew. So distribution...
Lars Brorson: But you’re not hit too much with the margin impact?
Niclas Rosenlew: I don’t have an exact number as we don’t split out the margins for distribution and OEM. But out of memory, I think the distribution growth in industrial was closer to 20% actually.
Lars Brorson: Helpful. Thank you. Can I ask secondly just regionally for Europe? I wasn’t enthused about the reclassification of regions, but that aside, on the reacceleration in Europe, that stood out to me. And I guess also to Rickard’s comment earlier around a robust demand outlook, where – which I presume includes the distribution business, are you seeing more broadly? And do you expect to continue to see more broad-based channel restocking that continues to support your distribution business this year?
Rickard Gustafson: Well, good question. As Niclas mentioned, we have seen very strong development generally within our distribution business, both in Europe or EMEA and in Americas, for example. And as of now, I have no indications that, that is about to change.
Lars Brorson: Can I squeeze a third and quick one and finally? Just on cost absorption for the remainder of the year, I appreciate the SEK40 million. Thank you for that, Patrik. If you look ahead now, obviously, last year, 2021 was a quite meaningful inventory build year and with quite meaningful earnings tailwind through the year. Should we – and I appreciate now that your 2022 outlook suggests a more moderate sub-sequential top line recovery in the second half. Should we brace ourselves for perhaps more significant headwind from under-absorption as we get into Q2 and second half?
Niclas Rosenlew: Yes. That’s a tricky one. I cannot immediately think of a good reason to see why it would be a major issue. But let’s see as the year moves along.
Lars Brorson: Understood. Thank you.
Rickard Gustafson: Thank you, Lars.
Operator: The next question comes from Andre Kukhnin at Credit Suisse. Andre, please go ahead.
Andre Kukhnin: Good morning. Thanks for taking my questions. Can I just follow-up on the inventory build comment you made and the questions before? The SEK40 million P&L benefit versus the SEK2 billion cash outflow seems quite modest, and I appreciate that there are many moving parts in there. But I just wanted to check if you could give us how much are goods in transit are up right now? Is it kind of value within that overall number and whether that’s included as the benefit to P&L from the ramp-up in that?
Niclas Rosenlew: Andre, once more. I lost you there.
Andre Kukhnin: So, I just wanted to kind of get a bit more clarity on the kind of inventory ramp-up that we have seen and the kind of the cash commitment that you have had in this quarter and in the prior four quarters, where the P&L benefit is. It seems quite low. So, I just wondered if you include the potential benefit from higher goods in transit in there as well as just your kind of manufacturing and…?
Niclas Rosenlew: Absolutely. Thank you. No, what we were referring to was the buildup of finished goods inventory in the quarter sequentially. And during the first quarter this year, we built about SEK650 million in terms of finished goods inventory compared to year-end. Last year, we had a buildup of about SEK400 million. So, the delta is about SEK250 million, hence, the SEK40 million EBIT impact in the bridge this quarter.
Andre Kukhnin: Okay. Great. Thank you. I will maybe come back some of this offline as well. And thank you for splitting out some of the verticals growth rates in one of the front slides, I think Slide 4. Could you help quantifying the size of the Automation segment for you that you put out there?
Rickard Gustafson: The entire Automotive segment, or…?
Andre Kukhnin: Automation, it’s the segment you gave after Marine.
Rickard Gustafson: Automation. Yes. Right. I need to – I need some help here to get the number. Is it – if I recall correctly, can you help me there, Patrik?
Patrik Stenberg: Yes. It’s single digit of the total, but still material enough and quite an exciting segment where we see long-term growth.
Andre Kukhnin: Got it. Thank you. Yes, it would be great to see kind of continuation, that kind of disclosure to track these sub-verticals. And then just final one, coming back to the Q2 growth rate versus the full year guide. So, in the Q2 guidance, could you help us with how much of the kind of maybe temporary China lockdown impact you are baking in into that flat guidance? Because when I look at the comps, how they kind of evolved for the second half of the year, we do need quite a ramp up sequentially to get to 4% or above the full year. And I appreciate what you said on automotive sequential ramp up. That’s fair enough. But obviously, that’s a smaller part of the business. So, we see that in industrial as well. I just want to check sort of specific kind of impact China baked in.
Niclas Rosenlew: Yes. I mean China is roughly 20% of our overall revenues. And seeing what’s happening now in China with a pretty drastic lockdown in the Shanghai area, it means that the business volumes with our customers are significantly down. That’s what we see now in April. Then it’s really a question of when the opening will happen and how it will happen. But – and that’s – as Rickard mentioned here earlier, it’s a bit about – a bit difficult to predict. So, we have taken some – taken that into account to some degree, but we do assume that China opens up here during the quarter.
Andre Kukhnin: Okay. Got it. Thank you for the time.
Rickard Gustafson: Thank you.
Operator: The next question comes from Mattias Holmberg at DNB. Mattias, please go ahead.
Mattias Holmberg: Thank you. Could you please provide us with an update on the progress of the factory closures and where you stand in terms of run rate cost savings in relation to the SEK5 billion? Thanks.
Rickard Gustafson: Sure. We continue with – according to plan. There is nothing really new to report in terms of additional factory closures in the quarter. For those who resonates in Sweden, you may saw an article this morning that indicates that we were about to shy away from the Mülheim closedown. That is not correct. That is incorrect article. And we are maintaining our pace there according to our plans. When it comes to the savings generated by – of the SEK5 billion, I think now we are in the average of SEK1.3 billion, SEK1.4 billion. That’s now been achieved so far. So, it’s a bit flattish from last quarter, but we are following our internal plan.
Mattias Holmberg: Great. Thank you.
Operator: The next question comes from Erik Golrang at SEB. Erik, please go ahead.
Erik Golrang: Thank you. I have one question. I got a bit lost in all the comments about sequential cost and price mix development. So, what’s your best take on the net between cost increases and price increases for the second quarter, bit worse or better than Q1?
Niclas Rosenlew: Hi Erik. Yes. Would love to kind of say the exact figures, but it’s hard to predict.
Erik Golrang: Directionally fine, no need for the exact figure.
Niclas Rosenlew: No, no, I appreciate that, Erik. No, but I mean, we – as discussed earlier, we continue to work with pricing, essentially price up. What we saw in terms of the inflation in first quarter, as I mentioned, was some stabilization, you can say. And let’s see if that stabilization holds also in Q2 or whether a combination of the war in Ukraine and the challenges in China will drive inflation further up. So, quite a few moving parts. But rest assured, we are on pricing. We have a good momentum there and we will continue to work with that.
Erik Golrang: Okay. Thank you.
Niclas Rosenlew: Thank you.
Operator: The next question…
Unidentified Analyst: [Foreign Language]
Rickard Gustafson: Sorry. Is this the question or someone is maybe – needs to mute themselves.
Operator: Okay. The next question comes from Sebastian Kuenne at RBC Capital. Sebastian, please go ahead.
Sebastian Kuenne: Yes. Hi gentlemen. A few questions regarding your electric car exposure. I recall that you had roughly SEK800 million revenues with the electric car OEMs for the powertrains last year. What’s the current run rate? What do you expect for the year ahead? And what percentage of auto OEM would that be? Secondly, you mentioned some new customers in Europe, also conventional car manufacturers that go into electric vehicles. And I am not asking who that is. But which customers would you still like to have for electric vehicles? Which – is there a large customer? Is there a large customer globally? I mean we know we have six, seven contracts in China even. I think that Ford is not really on your list. Would that be one that you still want? And then finally, also on electric, you mentioned the ceramic bearings gradually rolling out for, let’s say, high-performance electric cars. And what is the price point for these? I mean if you have three, four large bearings in the powertrain of EV, there are version of diameter of 15 centimeter. What’s the price point compared to a normal steel bearing? Thank you very much.
Rickard Gustafson: Right. Again, you asked a lot of good questions. And a number of them, it’s hard for us to really disclose. So, many details on it. But un are right, we have a – we have seen a very, very solid growth with our EV, as I mentioned. We have seen actually close to doubling the size of our revenues in this space.
Sebastian Kuenne: Year-on-year, okay.
Rickard Gustafson: Yes. Which has been – it’s growing rapidly. I think I have to leave it with that. The – how a big portion of that is of our total automotive? I refer to give you at this stage. But it’s clearly – as we said in our strategic framework, we have identified a few areas within automotive where we really want to play, where we believe that we have uniqueness and some strength, and EV is one of them. Large commercial vehicle is another one. And the EV – sorry, the general automotive aftermarket is the third one. So, those three are things where we will focus going forward and continue to invest and drive growth. I am not going to give you my wish list of customers. I – but we are pleased to see that we are already engaged with most of the pure EV manufacturers. We do have a very, very strong footprint there, and they are growing rapidly, which is of course, promising. We also started to engage with a number of the traditional OEMs, both in Europe and North America. And if we can demonstrate our work and other value to others that not yet have experience how it is to work with us and our solutions, of course, I will welcome that. But I am going to refer to provide you with my wish list. On the price points for ceramic bearings, you are on to a very important point. We are working aggressively trying to reduce the cost for these, but they are significantly more expensive than a traditional bearing. We talk about…
Sebastian Kuenne: Is it factor 10?
Rickard Gustafson: Yes, it could be somewhere factor 6 to 10, yes.
Sebastian Kuenne: And since you say you want to reduce price/cost there, is that at the moment at a similar earnings level, like margin level compared to events, or is it still a development phase, where you say, okay, once we roll it out large scale, we make good money. But at the moment, it’s still loss-making. What’s the situation there in terms of…?
Rickard Gustafson: It’s not loss-making. It’s not loss-making, but I can’t give you the margins. But it is still emerging because the key issue for us is actually to how to test and inspect each individual ball. That’s the main bottleneck at the moment, to really scale up production. And we are – there are solutions that has been invented by SKF that we are testing that are very promising, but that’s one area. How do we ensure that we have more industrialization of how to inspect balls and rollers, in this case, primarily balls. And the second key headache that we have is that there aren’t that many producers of good ceramic balls globally and small balls. We make larger balls and rollers. We make them in-house. But small balls, we source from outside. And we need to have more robust and high-quality suppliers globally to satisfy the need that is building up. So, that’s another area that we are working hard on.
Sebastian Kuenne: Okay. Thank you so much.
Operator: The next question comes from Andreas Koski at BNP Paribas. Andreas, please go ahead.
Andreas Koski: Thank you. Thank you very much and good morning. Just three quick questions. Firstly, on your Q2 outlook of flat organic growth. Did you mention what you expect for your industrial division and automotive division, respectively, or could you please do that?
Rickard Gustafson: Maybe I can take that straight on. We believe that we are going to see some growth. We don’t call it – we don’t quantify it, but we still believe there is going to be growth, organic growth in our Industrial segment while we foresee that automotive will have a negative growth rate also in Q2 as it had in Q1.
Andreas Koski: And then secondly, on the price/mix impact. Did you get any support from price increases in the automotive division, or is all of that related to the industrial division?
Rickard Gustafson: No, it’s not. We also see progress in automotive where we have been able to push price, definitely, of course, in the aftermarket, but also in the OEM space. We have some successes, and we are seeing that we get acceptance for – to be compensated for the cost inflation that we have incurred. So, it actually – it’s not just with industrial. It’s also impacted or it also applies to automotive.
Andreas Koski: Yes. And then a question for Niclas. And I understand this is not on top of your mind at the moment. But when I read your annual report, I noticed that your expenses – your other expenses, which is primarily purchased services, declined by more than SEK4 billion in 2021. I would like to understand what is explaining that significant decline in your other expenses and if the 2021 level is sustainable.
Niclas Rosenlew: Yes. Andreas, if you don’t mind, we can take that separately. I am just conscious of time as we just have a minute or so left, but we will take it separately.
Andreas Koski: Understood. Thank you, Niclas.
Niclas Rosenlew: Thank you.
Patrik Stenberg: Thank you. And operator, please, we are getting short of time. So, we have to round off here at 10 o’clock sharp. We do realize that there are several questions that have been left unanswered, especially those posted on the chat. We will get back to you separately on those issues. And if there are other questions that you need to get on, so please get into contact with either me or Andreas, my colleague on the IR, and we will try to help you. With that, a couple of closing words on the last couple of seconds here, Rickard.
Rickard Gustafson: Last seconds. Well, thank you. And again, thank you for your attention and thank you for joining us. Again, as I said, I think we are seeing, viewing these set of numbers as a good start to the year. We know that we operate in a highly volatile environment and a lot of uncertainties. But underlying, we are still optimistic about our business. We believe there are significant growth opportunities for us to grab. And we are pleased with the fact that we are – can also realize some of the – price changes are now also showing in our numbers. So, we are in for a good start, but it’s going to be a lot of hard work in – for the rest of the year. And I think that the SKF team and my colleagues around the globe have demonstrated their worth during this quarter. And I am sure they are going to do it again as we move into the second quarter. So with that, I thank you so much and wish you all a great day.